Operator: Ladies and gentlemen welcome to the Arkema Conference Call on the 2015 First Quarter Results. I will now handover to Mr. Thierry Lemonnier, CFO. Sir please go ahead.
Thierry Lemonnier: Good morning ladies and gentlemen and thanks for joining us today. On this call with me today are Sophie Fouillat, and Francois Ruas from Investor Relations. As usual we have posted on our website a set of slides which summarizes the first quarter performance that I will now comment before answering your questions. Arkema delivered solid first quarter performance in the macroeconomic environment which remain complex and volatile, the demand has been globally soft. In Europe the environment continue to be challenging with differences from one country to the other. Demand pick up in China after the New Year softer than what was expected and in the U.S. we start to see the effect of the stronger dollars on export and after shale gas slowdown on domestic activities. On the other hand the lower euro had obviously a positive impact on our performance enhanced by our positions in the U.S. For Arkema the third quarter has been a period of major achievement with the completion of three important projects, the first is obviously the acquisition of Bostik which was finalized in the tight schedule. The integration is well on track with very committed teams which in Bostik and Arkema. Several working groups are emplaced to implement the synergies and their progress is closely monitored internally at the executive committee level. We will begin to see the first benefits of that in the coming one season. The performance of Bostik during the first quarter was as expected up year-over-year fully in line with our expectations. The trained forces are confident in liquidity of the business and the importance of growth and value creation. Our second achievement is a standard startup of our Thiochemicals platform in Malaysia both mesh and DMDS units are running well. Our customer CG has also successfully started its methionine plant on schedule. So this investment is clearly already a technical success that confirms a strong new outlook of Arkema Thiochemicals. As anticipated the contributions to results during the first quarter has not been material due to the start-up phase but this will change as from the second quarter on very good market conditions for animal nutrition and some demand is refining and petrochemicals. For Sunke the situation is more challenging, market conditions remain difficult with the certain demand amplified by the Chinese new year some destocking at customer level and low unit margins. For the first quarter Sunke contribution to EBITDA was close to zero. However we again confirm liquidity of the Sunke assets and their competitiveness which positioned us very well on the Asian market. On this cyclical product line success has to be judged overtime. Among growth drivers and beyond these three major projects we are led to confirm that we already started to see some improvements for the first time since few quarters that’s a positive point on the subject which generated a lot of questions. We also continued in Q1 to reinforce our portfolio of businesses either [M&A] with the small bolt-on acquisition of Oxido in organic peroxides our base sales are improving the competitiveness of certain product lines. In this area we've announced in the quarter our project to shutdown the production of coating resins in Villers-Saint-Paul in France. Finally we also continue to work on longer-term projects such as the development plan of the PEKK that we announced in early March. I will now detail the first quarter performance and I will start reminding you that all the figures for 2014 has been restated to taken to account the IFRIC 21 [standout] those restated figures were published together with our full year 2014 results in early March. The first quarter sales amounted to €1.9 billion up 23% year-over-year mainly supported by a 20% contribution from acquisitions. The currency effect that resulted mainly from the strengthening of the U.S. dollar against euro is positive at plus 8.6% these two effects more than compensated negative price effect of 3.1% mainly acrylic and the 2% decrease in volumes like-for-like. Supported by the contribution of Bostik EBITDA is up 18% to €237 million excluding the impact of the acquisition of Bostik EBITDA is also up year-on-year. This is for the first time since several quarters. The good performance of most product lines and the positive currency effect of around €20 million more than compensated the anticipated impact of the cycle in acrylic. EBITDA margin persisted well at 12.7% despite the cycle and mechanical dilutive impact of Bostik. Recurring operating income stood at €133 million including G&A of 104 million up on last year with the impact of acquisitions ForEx and startup. Non-recurring expenses amounted to €60 million and include restructuring charges related to the project at Villers Saint Paul in France, and some exceptional or expenses invitation to the Brazil acquisition. Finance or reserved is at minus 29 million it includes unrealized extend loss of 9 million and financing U.S. dollar of the investments made in Malaysia and the increase of the cost of debt due to the financing of Bostik. Taxes increased to 48 million on the Bostik. Tax rate refers unexpected fix performance of EBIT and reflects the share capital split as that showed a significant cost of results generated in the United States as well as lower results in France. As a result net income group share amounted to 42 million compared to 65 million in the first quarter of 2014. These decrease mainly results on the unrealized extend loss on the financing in Malaysia and the depreciation booked on recently stocked investments which did not contributed yet to result. Let's move now to the performance of our three business segments. High performance materials benefited from the integration of Bostik, which achieved sales of €272 million for two months and delivered the performance fully in line with the group's expectations excluding those performance of the segment is stimulate to the one achieve last year the lower demand in some oil and gas applications and the slow start of the year in China were offset by favorable currency effects. EBITDA margins stood at 14.5% but with that been closed to let's level excluding the mechanical digital impact of Bostik. For in the sales specialties and sales are 10.9% supported by a favorable currency effect price is up 1.8% in particular in fuel gases offset lower volumes mainly P&M the segment showed a strong performance result EBITDA of 25% on last year to proceed by solid performances across product lines. Thiochemicals realized once again the strong performance supported by good demand these without material configuration from our new platform in Malaysia. PMMA delivered a strong performance was slightly down on year-over-year it reflects a still favorable environment in MMA but not competitive conditions in PMMA resins. Fluorogases are up year-over-year benefitting from some improvements in market conditions mainly is U.S. this is in line with our anticipation over the years. In coating solutions sales are slightly up with a plus 4.9% configurations on the acquisition of Sunke the negative price effect of 9.6% reflecting the acrylic cycle, was offset by the positive price effect. Like for like volumes were down 2.6% with continuing this adjustments into and a slower start of the year in decorative paints in Europe. As expected acrylic margins remained in the continue of first quarter of 2014 that is close to low cycle level and down from mid-cycle level in the first quarter of last year. This situation is expected to last four hours the rest of the year. In downstream activity performance was up year-on-year supported by the good development at Coatex, and benefits from cost optimization in coating resins. As a whole and despite the current challenging conditions in monomer, coating solutions achieved an 11.3% EBITDA margin. A few comments now on cash flow and net debt. As usual, first quarter free cash flow is negative because of the working capital seasonality. Its stands us minus 54 million on lower CapEx of 61 million. For the full year on to basis or the Euro the last set of 125 CapEx should amount to around 450 million the variation of 0.10 or this rate would have an impact of close to 50 million under total amount of CapEx. Net cash flow was minus 1 billion 382 million and reflects mainly the acquisition of Bostik net of the cash required and the actual amount cash dilute on the closing date for acquiring Bostik was 1.6 billion and other consequence net debt went up on 154 million at the end of 2014 to close to 1.9 billion at the end of the quarter. Now let's move to the balance sheet and say few words on the year accounting of the Bostik acquisition. At the end of March the price allocation was not completed which means that Bostik assets and liabilities were booked at their historical values the difference between the book value and the price paid was recorded as non- allocated amount of 1.1 billion. Consequently no additional DNAs were booked into P&L. At the end of June the asset and liability will be stated at their fair value, and the residual non-allocated amount will be recognized as goodwill. Therefore, in the P&L depreciation and amortization resulting from the price allocation will be accounted for retroactively on the acquisition date on top of that the inventory step up will be booked as non-recurring items in the second quarter. It's a bit technical but this is important for you to have this in mind and we will obviously provide you all details in due time. Now to conclude my presentation, I will say a few words on the outlook. As part of the economic environment is concerned it should remain uncertain and volatile however our assumption for the coming quarter is that the euro dollar rate should remain favorable. But you should take into account that the reference base will be less favorable in the second half of the year. We also confirm our assumption that acrylics should remain in low cycle for the full year and that PMMA should normalize overtime from last year [business]. If we look now at the expected contribution from our internal development Bostik should continue to perform well our new Thiochemical platforms in Malaysia will start to contribute from the second quarter benefitting from a good demand. Sunke will be affected by low cycle margin in acrylic in fluorogases, we expect the gradual improvement to continue. These drivers will support the Group's growth in 2015 and we confirm that for the second quarter excluding the effect of Bostik acquisition Arkema expect to grow EBITDA. To conclude this presentation I would like to take this opportunity to remind you that we hold a Capital Market Day in Paris on the 29th of June, which will be the occasion for us to detail our long-term objective as well as a business segment strategy. So thank you very much for your attention and I am now ready to answer to your questions.
Operator: [Operator Instructions]. We have a first question from Mr. James Knight from Exane BHP Paribas. Sir please go ahead.
James Knight : I've got a question around your two acquisitions, or some questions around it. So firstly Sunke. If math is correct, the run rate in the first quarter in terms of sales is nearly at one-third of the rate of when you bought it, or resuming when you bought it. So we can see pricing coming down. We hear destocking. But were there any other influences in the first quarter such as production issues? It just seems such a huge delta if you like. And then the second set of questions is around Bostik. Can you give us the organic sales growth in the first quarter? Also, confirm that its EBITDA contribution was just over €20 million. Whether that margin was up or down year on year, the EBITDA margin. And whether you expect the full-year EBITDA margin to be up or down. Also maybe the competitors commented that they see inputs coming down already and they expect a benefit from that coming through the full year; do you see that as well? Sorry for all the questions, but thank you for answering.
Thierry Lemonnier: So James I will try to attain some of those questions. On Sunke, no, we had no technical issue. Don't forget that for 2015 since we've not exercised the option will be Sunke will be consolidated under 50-50 basis, so it's little bit difficult than what we communicated initially on this project, but otherwise in terms of volumes there is no negative impact on any technical issues, its running well taken into account the specific market conditions that we are facing now in China. So there is no technical issue. It's only an issue related to market conditions which accumulated the global acrylic cycle conditions and the specific situation in China amplified by the Chinese New Year of during the third quarter. So all in all the contribution during the first quarter as I said was close to zero. And you can also see that could and probably will last in the second quarter and we expect the performance from -- the contribution from Sunke to be limited during the full year and probably I would say almost certainly lower than what we expected. So already to come to your point between the situation that we’re facing now and our view a few months ago is that because of this slow start of the year we can expect now that the global contribution from the Sunke to EBITDA in 2015 will be lower than what we expected but should be compensated by the other -- this lower performance should be compensated by the other major investments which are Kerteh and Bostik. For Bostik we have not and we’ll not provide any precise figure for the first quarter mostly because we only have two months of activity in account and we see because that it will be much more relevant to NRIs Bostik we had at least a full quarter are behind us that we will do where we will publish all of our second quarter results. Globally, the growth is on track as I said the EBITDA of Bostik has been helped on last year level and the level of EBITDA is where we expected it to be probably a little bit is on better of them the estimate and secondly above the 20 million that you were higher mentioning expected is 20 million we are to amounts and not the quarter but I think it was other quarter.
James Knight: Yes it was the quarter. The comments that HPM was flat ex-Bostik suggest Bostik was around €22 million if I read that right.
Thierry Lemonnier : Oh that's scalable.
James Knight: Okay, thank you. And just on your outlook for Bostik's full-year margin given some of the comments that have been made around input costs falling through the year?
Thierry Lemonnier : We can't we hopefully once again with only two months season of activity it's a little bit un-tradition to we are as compared to negative that we have defined for 2017 let's say close to which means that both EBITDA and EBITDA margin are online of progression so we can expect yes and progression even in to 2015.
James Knight: Okay, thank you very much.
Operator: We have a next question from Mr. Martin Roediger from Kepler Cheuvreux. Sir, Please go ahead.
Martin Roediger: Yes. Thanks for taking three questions. First on the outlook; what have you hold back to provide an outlook for the full year? Is it the uncertainty you are referring to? And the second question is on the Bostik acquisition. Can you I mean you said that at the end of March there were some figures not known, but now we are in May, so maybe you have an idea of what the inventory step-ups could be, which you want to book as non-recurring items in Q2 and what could be the PPA-related D&A charges for Bostik on an annualized basis. Just a ballpark figure here would be helpful. And the third question on Sunke. You have extended the timeline for buying the second line in acrylic acids until January 2016. What have been the costs for extending this call option? Did you book that cost in Q1 or will it be just added as additional purchase price when you buy that business?
Thierry Lemonnier : Okay. Martin so I will answer your three questions. As far as the outlook for the year concerned of pretty seasonal to provide any guidance for the year at least before the second quarter or duplication and we did once we provide once a guidance earlier in the year and that feels as it was not appropriate because the uncertainties we have to important it doesn't seem that we are it's because we are negative or higher positive is just a matter of policy and we will not change that so and over the more as right now we are in a number amount which is extremely complex and with higher level of volatility but the small end up as I said it's our policy not to provide any full year guidance at the beginning of the year and not before the duplication of our second quarter results. For the PPA no I will wait until that is the second quarter. The reason is that it is still underway and it is something that we have first to validate with details before we communicate anything so at the end the impact will be adjusting not the cash impact it's just a matter of allocation between good will and intangible assets as well as the inventories. And as there will be a first evaluation which will cover our most of the subject and on top of that the possibility during one year to adjust the allocation that most of the work will be completed when we will publish our results at the end of June and then we will comment in more detail but before that I prefer not to provide any information as long as debt as not been validated by our returns. For Sunke we agreed to delay the exercise of the option, correspond only to part of the cost of the delay, , the financial cost of the delay and it will be booked and it is booked each quarter but it's not significant that we have no significant impact on our net results.
Operator: We have a next question from Mr. Jaideep Pandya from Berenberg. Sir please go ahead.
Jaideep Pandya: I have a few questions, sorry. Start with fluorogases. I just want to really understand what is the dynamic, what you saw in Q1. So you have announced two price increases over the last few months, specifically for Europe. But your commentary is, pricing was positively up in the US in Q1. So how should we think about pricing in fluorogases going forward for the rest of the year? The second question is on Thiochemicals in Malaysia. So thanks for the color there in terms of the update. Can you give us some feedback on EBITDA contribution, given the fact that one of your key end markets is doing extremely well right now in terms of pricing and demand? The third question is really on technical polymers. So could you give us some color on what you're seeing in the end markets here in terms of oil and gas, automotive, electronics, in terms of demand development? And, sorry, final question is on filtration. If I understand, you had an order last year in Q1. I just want to understand whether you had any business in molecular sieves in Q1 this year? Or do you expect it to come mainly in the rest of the year? Thank you so much.
Thierry Lemonnier: In fluorogases as you know we’re exposed different markets and different geographical areas. The positive element that we’re expecting to come from the prices that will something extent related to thing that measures which has been implemented and which has to do with certain specific gasses and U.S. is mostly F22 and Europe it's mostly is 134 that is the gas used in the automotive industry. Globally as a demand in Europe remain solid really soft and the impact of those measures has been limited in the first quarter. On the other hand we benefited to significant level from the there is a positive impact in methionine so that is a reason why we indicated that so far in Q1 is a contribution -- improvement of the contribution in fluorogases was mostly related to our west activity and on top of that obviously we've so positive construction effect on this performance. So it doesn't change our view and we will positively and gradually will continue to recover the losses that we have booked in fluorogases in the past quarter but it will take some time. And so far what we’re seeing is in line is what we expected for 2015 and we are confident that in the second quarter we will have the same kind of position. In Thiochemical don't forget that we are not directly exposed to the methionine market. CG our customer and partner is producing and filling the methionine but obviously the fact that the methionine market right now is extremely favorable is positive for us mostly in terms of volumes because that means that CG will produce the maximum of what we can. So for us it has a positive impact and also because in the price formula that we have there is some amount which are related to the price of [indiscernible] but it has really increased relatively limited. So clearly for us is a positive element is coming from the good level of demand and volumes related to methionine and directly to the price of methionine. In terms of performance for the year we've indicated that we estimate that we expected a contribution is new platform to our EBITDA to be at around €50 million and we’re right now even more confident that we were few weeks or few months ago to deliver this performance. In technical polymer it's clear that market conditions remain difficult in certain end markets especially oil and gas where the demand is obviously relatively soft and we don't expect in the short-term that to improve, it will some point in time but it is to launch but relative to the price of oil. So clearly in terms of volumes, so the activity was lower than what we expected and lower than last year but in terms of margin because of several hybrid product mix probably also because of the impact of lower on the lower price or certain raw material and the performance have been satisfactory in technical polymers and all in all between ForEx and margins we are able to compensate the lower volumes. Two of our [Indiscernible] you were right you mentioning that last year we had the sale of molecular field there is way and we have this year of I'm not exactly the same but which was comparable in Q2 last year so awarding node I will say that's it's comparable taking into account this strategic sales.
Jaideep Pandya: Thank you. Just one follow up on fluorogases. So the price increase that you have announced in Europe, you haven't yet seen the benefit of that. Do you expect to see it through the year in 2015?
Thierry Lemonnier : Yes. It will through the time being because of volumes, which are productively low the impact is lifted but we can expect some obviously consideration given the year and since start of that we have taken into account when we said that in 2015 will show an improvement on both internal and external measures.
Operator: We have a question from Mr. Paul Walsh from Morgan Stanley. Sir, Please go ahead.
Paul Walsh: Yes. Thanks a lot. Good morning, Thierry and team. As far as demand is concerned, it's obviously been a slow start of the year for a number of companies, but a few have also said that March and April have started to look better. So I was wondering whether or not you had also seen that trend in your businesses, particularly in the coating resins segment given the slow European coatings start. Is that looking not just seasonally stronger in Q2, but year on year stronger? Second question is did you make any inventory write-downs in the first quarter? And my final question is just on PMMA. Are you seeing that business normalizing already, or are you just warning it might normalize as we move through the rest of this year? Thank you.
Thierry Lemonnier : Okay, Paul. So, as far as the volumes trend it's as other chemical company that's has been between the beginning of the year and March and it is also true that the beginning of the year was for different reasons softer than what had expected and March was significantly better and shows some improvements sequentially in term of volume on top of that we had Chinese New Year in February which had a negative impact which was even more negative than last year for different reasons probably related to there is a level of inventory and ability to global economic situation in China. Although we have to remain curious on the liberation of volume Q2 normally because of this is quarter which sequentially there should be higher in volumes and the first quarter if we compare through last year it's too early to say but probably we should expect the volumes to be at least less negative or the effect to be at least less negative than what it was in the first quarter and now if you are going to same model at the stage. As far as inventories are our concerned no we had no right of inventories because of high priced raw material effects and the only impact that we had is related to the movement of inventories which had indirectly an impact on our high gross profit results which were slightly higher than the average of the year and due to the fact that in our accounting rules we are allocating to gross profit variation of fixed cost including inventories according to the variation of volumes so in the term that means that during the year we may have some procreation in the gross profit line because of the movement in the inventories but it has less than to do with depreciation is just a question of timing and it should normalize over the year. For PMMA globally the market remained very supportive especially in Monomer and as you know we are not significant player on the Monomer market we’re as opposed to actually fully integrated in monomer and polymer which are MMA and PMMA. And we however continue to benefit from the very good market conditions in MMA. Market conditions on the other hand, starts to become more difficult in the downstream which will especially in PMMA resins. And in the first quarter globally for Arkema the performance of PMMA has been some of MMA and PMMA has been slightly below its level of last year. We are not much below but slightly below, and that is why we continue to say that we expect those conditions to prevail during the year and we should -- we’re expecting and we’re anticipating lower performance globally in PMMA for 2015 on the business which in 2014 was quite high.
Operator: We have next question from Mr. Peter Clarke from Société Générale. Sir please go ahead.
Peter Clarke : It's just a follow up really on what Paul was asking on the acrylics, but in North America, I seem to remember last year you had the winter impacted Q1, but you still had a very good quarter in Q1 2014 and it was softer in Q2. Just how do you see the outlook for the acrylics business in North America? And then just to confirm on the ForEx and the transaction impact, I remember your comments beforehand about what that would be. I suppose Bostik actually dilutes that a little bit in terms of the transaction impact. But effectively, if we look at the EBITDA from ForEx both transaction and translation, would you confirm that it's certainly a double-digit number, maybe somewhere above 12%, the [kicker] from ForEx in total? Thank you.
Thierry Lemonnier: Just to make sure that they understood your question. When you are looking about acrylics talking about monomer or the coating solution?
Peter Clarke : Both ends of the chain actually; monomer and the coating side.
Thierry Lemonnier: It's true that last year we benefited from certain specific weather conditions which were relatively favorable but difficult to say what was the impact. And if I was to mentioned this element it is probably more in Europe than in the U.S. And it's true that in coatings especially in coatings at the beginning of the year has been relatively soften, impacted by the weather condition. In the U.S. market conditions are not very different from what we expected. Coating's demand remained relatively soft and we expect some improvement in Q2 due to the seasonality, but globally the market situation in acrylics is everywhere in low-cycle conditions and there are no specific situation in the U.S. For ForEx what we've said is that global conversion effect was close to €20 million on top of that we certainly also had the positive correctional effect which is much more difficult to evaluate and it's a mix of different elements, one which is related to the level of exports from Europe and here as it is reflected in the global volume effect. Exports are not very much supported by the demand in emerging countries, which is lower than what it has been in the past and purely even if we benefit on advantage in terms of cost bid -- euro cost bid the volume of export has also been limited. On top of that, we've also another element which is related to the fact that we’re importing in Europe buying of raw material which is priced in dollar and final price is still in euros to the large extent dollar bid, and this obviously due to the lower euro has a negative impact on our sales in Europe. All-in-all I would say that the transactional effect is limited. All the more, as you know we have hedged and we’re hedging 2015 export sales at level which I am not as [indiscernible] by far as a current euro.
Peter Clarke : Okay, so you're saying it's a more marginal effect?
Thierry Lemonnier: Yes.
Operator: We have a question from Thomas Gilbert from UBS. Sir please go ahead.
Thomas Gilbert: Two questions and a follow up. From the fact that your adjusted tax rate in the first quarter is pretty much what the US statutory tax rate is, can we deduct from that that you're not making a pre-tax profit outside the United States or out North America at the moment? Is that the right conclusion? The second question; the SG&A costs have gone from around 6.8% to 8.2%. Can I just confirm and make sure that that is the new business mix, i.e. that is Bostik, which is more SG&A intensive, so to speak, or whether there were any other issues why delivery or marketing and sales costs have been higher as a percentage of sales from the first quarter onwards? And then just coming back to Paul's question. So to make absolutely sure on PMMA, MMA, what you're saying is that you expect the integrated spreads to come down. It's not that you, because of the current rise in the propylene price, expect any sort of spot MMA sales to be squeezed by raw materials. We're talking about integrated spreads here; that's what you are more cautious about. Is that the correct interpretation?
Thierry Lemonnier : Okay. Yes, Thomas. I would start with the last point about PMMA and yes it is clearly because we are integrated and we are not benefitting as there could benefit of the fact that the price of MMA is for the time extremely favorable because of the tight situation of the supply and for PMMA market conditions mostly because of softer amendment in certain application are not as supportive so we are not saying that it will collapse our material which we are seeing just is that between should we are expecting these market conditions to normalize as compared to the basis of last year and we start to see that well have a little bit in the first quarter is when we have to recognize that globally market conditions were better than we expected at the end of last year during the second last quarter.
Thomas Gilbert: Do you see a lot of competition from polycarbonates in terms of -- because PMMA went up so sharply that you have substitution effects from other polymers? Is that happening?
Thierry Lemonnier : It's not the matter of conserve on PMMA to polycarbonate is just because of the I believe of last year.
Thomas Gilbert: Okay, thanks. Chapter closed. Thank you for that one.
Thierry Lemonnier : For the tax rate as you can imagine easily the subject is positively complex and it is always difficult to extrapolate this year of quarter to the full year. What is happening right now it is the consequences of different elements which are related mostly to France and China. In France we are which are not related to the net results or to the EBIT and they are relatively stable and when the performance is lower and it is a case right now must be the positive way of those taxes which are not related to results is a year so this as a negative impact. In China we have another effect which is due to the fact that there is no tax consolidation which means that's the way we make profit in one RTT we cannot offset the profit by loss in other area. For the time being because of Sunke which is generating as I said an EBITDA close to zero which mean negative REBIT, this effect amplifies the global tax rate so doesn’t mean is that we are only paying tax in the U.S. and but globally taking into accounting both terms of the tax need and of the result in the U.S. it's in [Indiscernible] to configure that is a tax rate it will achieve through the activity that we have in the U.S. for the rest of the year at this stage it is much too early as I said to extrapolate this situation we will benefit from [indiscernible] which also had a negative impact on EBIT during the first quarter but we will consider it positively in the second quarter while we are not paying taxes in Malaysia. So these will give a positive demand however for the time being I see that it is cautious to consider that the tax rate for the year should be at least close to the higher range of the guidance that we provided to you which is that 30% and if it was to be higher than last time we will assess obviously the situation and communicate that sometimes between our Capital Markets Day and the publication of our second quarter result but for the time being I think that the 30% guidance is still appropriate. Your another question, yes about SG&A and Bostik. No, there is no additional SG&A expenses and Bostik is not different and the average we’re talking it’s just a busy so it is just a consequence of the calculation but it is not SG&A increasing.
Operator: We have a question from Mr. Andrew Benson from Citi. Sir please go ahead.
Andrew Benson : I don't want to harp on about Paul's questions too much, but I was interrupted. I didn't hear what you were saying about the European coatings market into the second quarter, and how the European acrylics, particularly the downstream acrylic businesses, were performing. I hadn't heard the rest. So if you could just perhaps briefly summarize that. And hearing again of substitution of PA12 for Nylon 6 and Nylon 66, and I was just wondering if that is a challenge for you? And if so, what you're doing about your specialty polyamide businesses to counter that substitution. Thanks very much
Thierry Lemonnier: So globally for the coatings solutions you seen coating solution segment and acrylics and the European demand for coatings soft, the first comment I will make is that even we saw the demand for coatings was relatively soft in the beginning of the year, the performance of the downstream chain of acrylic segment and solution segment has been strong, obviously mostly supported by Coatex and Sartomer. but globally the performance of coating resin is not deteriorated if the global market environment in Europe was softer than what we could have expected. In Q2 so far we've not reason to consider that normal seasonality will not be met and as a demand we should speak sometime between May and July both in the U.S. and in Europe and continue to compensate part of the lower performance is upper upstream part of the chain which as I have already said will continue to be affected by around this time last year when during most of the second quarter acrylic monomers demand were above low-cycle conditions. So globally we have not specific concern and we don't anticipate any but surprise in the second quarter. For poly-med 12 globally what the situation that we have in poly-med is mostly the consequence of the specific flow of demand in certain end markets such as oil and gas and it is not as a consequence of substitution of poly-med 12 by other products such as poly-med 66 and it is a challenge for us as change and it is to continue to develop the coat solutions to our customers and we’re not fearing any bad negative evolution coming from this possible substitutions that we’re mentioning between two products which has not important overlap.
Operator: We have a new question from Jaideep Pandya from Berenberg. Sir please go ahead.
Jaideep Pandya: Just a couple really. On Bostik, can you just quickly remind us how is the seasonality of this business, i.e., is it more H2 loaded versus H1 loaded? And then, sorry to ask this, but I just want to double check Q2 really. So if I back out Bostik, then you did [€215 million] in Q1, and last year was [€210 million]. So you already have a head start if I compare Q1 this year versus Q2 last year. And then, if I tie in all the comments that were made in the call, it seems that you should have a pretty good growth in Q2 versus Q2 last year. Can you confirm that please? Thanks.
Thierry Lemonnier: So Bostik we will obviously provide more information during our Capital Market Day. What I can say however is that yes there is some seasonality especially during August and December which are traditionally low months for most of the Bostik activities. On Q2 no, I will not comment as you know the basis that we had last year and that should not unless there we should not [Indiscernible] so you have already some elements to evaluate what could be as a EBITDA for the second quarter or what we have said in that without this peak EBITDA should be higher than last.
Thierry Lemonnier: Okay. So, thank you to all of you and I hope that we will see you in at the end of June for our Capital Market Day. Thank you very much.
Operator: Ladies and gentlemen. The conference has now ended. Thank you all for your participation. You may now disconnect.